Operator: Good day, and welcome to the TransUnion 2024 Third Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Greg Bardi, Vice President of Investor Relations. Please go ahead.
Greg Bardi: Good morning and thank you for attending today. Joining me on the call are Chris Cartwright, President and Chief Executive Officer; and Todd Cello, Executive Vice President and Chief Financial Officer. We posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website this morning, and they can also be found in the current report on Form 8-K that we filed this morning. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses, and other items, as well as certain non-GAAP disclosures and financial measures along with the corresponding reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures. Today's call will be recorded, and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release and the comments made during this conference call and in our most recent Form 10-K, Forms 10-Q, and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that, let me turn it over to Chris.
Chris Cartwright: Thanks, Greg. And let me add my welcome and share our agenda for the call this morning. First, I will provide the financial highlights for our third quarter 2024 results. Second, I will detail progress against our transformation program and next milestones. Finally, Todd will detail our third quarter results along with our fourth quarter and full-year 2024 guidance. In the third quarter, TransUnion again exceeded guidance across all key financial metrics. Given the strength in the quarter and ongoing business momentum, we are raising our full-year 2024 guidance, which Todd will discuss later. Revenue grew 12% on an organic constant currency basis above our 8% to 10% guidance. Excluding mortgage, our growth of over 8% also exceeded expectations. In the U.S., we continue to experience stable economic and lending conditions. Household finances remain healthy due to low unemployment and some real wage growth, although lower income consumers face affordability pressures from higher shelter, transportation and other expenses. Consumer delinquencies have improved for personal loans and appear to be stabilizing for credit cards and auto loans. In mortgages, delinquencies have risen but remain below historical averages. In September, the Fed announced a 50-basis point interest rate cut with market expectations for further gradual reductions over the next several quarters. We expect an interest rate easing cycle will benefit our volumes over the medium term. In mortgage, we expect there will be a notable refinancing opportunity for loans opened over the last three years, as well as potentially higher purchase activity resulting from improved affordability. Outside of mortgage, we expect lower rates to benefit consumers, who will see lower borrowing costs and our customers, who will benefit from lower funding cost and increased consumer demand. These dynamics are in the context of lending volumes that remain below historical trends. In our U.S. markets segment, revenue grew 12% in the third quarter. Financial services grew 17%, led by over 60% growth in mortgage and growth across all our non-mortgage lines of business. Emerging verticals grew 3%, driven by double-digit growth in insurance. Consumer interactive grew 21% due to our large breach remediation wins. In our International segment, we grew by 12% on a constant currency basis, the 14th consecutive quarter of double-digit growth. India led with 23% growth, while Latin America, Asia-Pacific, and Africa all grew double-digits. And finally, we prepaid $25 million in debt during the quarter for a total of $105 million year-to-date with the intent to make additional prepayment in the fourth quarter. Our leverage ratio is on track to be within our near-term target of 3 times or under by year end. As we approach the one-year anniversary of announcing the next step in our transformation, I want to provide an update on the strong execution throughout the year. As a reminder, this phase of our transformation comprises two complementary programs aimed at reducing cost and accelerating innovation. First, we're optimizing our operating model by expanding our global capability center network. Second, we're modernizing our technology capabilities on the state-of-the-art data management and product platforms. Let me detail the progress made to-date in the next steps to complete the programs in 2025 as intended. Our operating model optimization is the continuation of a multi-year journey to build scale across the organization, foster knowledge sharing, and standardize ways of operating. We leverage our Global Capability Centers or GCCs, driving workforce productivity and allowing us to provide more services from talent-rich geographies such as India, South Africa and Costa Rica. Over the last 12 months, we substantially completed the relocation of roughly 1,000 roles from local markets to our GCCs. As of the end of the third quarter, nearly all new positions in the GCCs have been filled. We now have roughly 5,600 employees in our GCC network, largely in India, but with significant presence in Africa and Costa Rica to support 24x7 availability. We also strengthened our local GCC leadership by hiring senior management roles within the regions to support these deep talent pools. A majority of our GCC employees are software developers within our technology, data, and analytics organization. In addition to sizable teams supporting our corporate functions and business transformation efforts. As more work shifts to the GCCs, we're implementing a rigorous playbook to mitigate knowledge transfer risk. Our centralized transition team systematically tracks and documents work processes and develops a feedback loop for continuous process improvement. We also emphasized training, development, and assessment for recent hires to ensure success in their new roles. We're very pleased with the execution of our GCC strategy, which is driving material realized cost savings in 2024. Our focus now is further refining our processes to enhance and expand our best-in-class GCC network. Last quarter, we laid out how we're aligning TransUnion around global technology and product platforms powered by OneTru. Today, I'll focus on the innovative capabilities and product launches in recent months. Earlier this year, we tested and demonstrated that OneTru can materially improve the speed and efficacy of FactorTrust, our short-term credit lending bureau in the U.S. We recently went live with several enhanced capabilities, including triggers, innovation labs, new attributes, and customer prescreens. We plan to migrate FactorTrust customers over the remainder of this year. In 2025, we plan to migrate our primary U.S. credit system customers and decommission the legacy platforms. We also released the first capabilities of TruValidate integrated fraud suite for general availability. The suite produces notable predictive uplift and allows us to deliver our fraud point solutions to customers via a common API. In the third quarter, we signed our first contract for the integrated suite in a competitive win against top fraud vendors. TruIQ Data Enrichment provides instant access to TransUnion credit from within a customer's technology environment. This privacy first approach enables our customers to develop highly targeted marketing campaigns, while retaining control of their sensitive IP. In August, we launched data enrichment on the Snowflake platform to high customer interest with strong new sales and a growing pipeline. We see significant opportunity to embed identity-centric solutions like data enrichment directly within cloud data warehouses such as Snowflake, enabling customers to access our data within the environments of their choice. In our TruAudience marketing solutions, we achieved another key milestone in integrating products and building capabilities. Earlier this year, we unified the underlying identity graphs of our solutions to deliver more accurate identity resolution. This quarter, we consolidated the product, so that customers can experience our identity products on a common and modern user interface with improved features and functionality. Over the next few quarters, we expect to release further enhancement as well as roll out the capability internationally. Finally, we're in the process of migrating our internal big data and analytics environment, which we call SHAPE onto OneTru. SHAPE is frequently the starting point for new product innovation and is also used for customer analytics work, including our innovation labs. And we've onboarded and trained approximately 400 of our data scientists onto OneTru and delivered 10 innovation labs utilizing the platform. We plan to onboard and train all 1,000 plus of our data scientists by the end of this year, allowing us to decommission the legacy SHAPE platform in early 2025. OneTru is accelerating our innovation and enabling new products that resonate with our clients. We've already built a pipeline approaching 50 million and growing from recently introduced OneTru-powered products. Now the early success of OneTru strengthens our conviction in our technology modernization strategy. In addition to delivering continued innovation, 2025 will focus on application development and customer migration. Let me discuss our key initiatives for the coming year. In core U.S. Credit, we aim to have end-to-end capabilities for both online and batch services on OneTru by early next year. We plan to start parallel runs and initial migrations of customers in the first quarter with continued migrations throughout 2025. In India Credit, we are similarly migrating all data and analytics work on the OneTru next year. This will enable us to launch our TruIQ analytics suite and innovation labs into the region. We anticipate strong demand in India for our next generation analytics solutions. We are also well underway in modernizing our consumer solutions technology, which underpins our credit education and identity protection offerings for our indirect channel partners. We plan to consolidate our offerings, including those acquired through Sontiq onto a single global platform. We also plan to launch a comprehensive new interface for our direct-to-consumer product in early 2025. Finally, given the positive early indications of OneTru strengthening our core credit applications, we are evaluating opportunities for further international bureau migrations. Remember that our announced program focused on the U.S. and India through 2025, but we view OneTru as our destination platform for all bureau applications. Next year, we plan to lay the groundwork in four other key markets for their eventual migration to OneTru. We remain on track to complete our transformation program in 2025 with full savings benefits expected in 2026. We continue to expect to incur $355 million to $375 million of one-time expenses to capture the benefits of our transformation programs, including $200 million in 2024. We now expect CapEx to be 8% of revenues in 2024 against a prior expectation of 9%, driven by more efficient spend throughout this year in addition to higher revenues. We continue to expect CapEx to be approximately 8% of revenues in 2025. We continue to expect to deliver roughly $200 million of free cash flow benefit by 2026, driven by $100 million to $140 million of operating expense savings as well as $70 million to $80 million of CapEx savings as we lower our CapEx requirements to a sustainable 6% of revenues. In 2024, we now expect to deliver $85 million of in-year operating expense savings ahead of our $65 million expectations at the start of the year and supporting almost 100 basis points of margin expansion in the year. The higher savings in 2024 have been largely driven by our people-related actions and expanded GCC network. The remaining $45 million of expected savings will be driven primarily by our technology modernization. We expect to complete the investment program in 2025 and most of the technology cost rationalization will be actioned late in 2025 near the completion of the program. That means that the remaining savings will not be realized until 2026. Taken together, our transformation programs are driving tangible benefits across the organization and will enable us to reach new levels of performance and scale. We look forward to updating you on our accelerating innovation as well as progress against our remaining cost savings targets. Now, Todd will provide further details on our third quarter financial results and our updated full-year 2024 outlook. Todd?
Todd Cello: Thank you, Chris. And let me add my welcome to everyone. As Chris mentioned, in the third quarter, we exceeded our guidance across all key financial metrics. Mortgage was the largest driver of our outperformance and our non-mortgage financial services businesses and International segment also contributed positively. Third quarter consolidated revenue increased 12% on a reported and organic constant currency basis. There was no impact from acquisitions and an immaterial impact from foreign currency. Our business grew 8% on an organic constant currency basis, excluding mortgage from both the third quarter of 2023 and 2024. Adjusted EBITDA increased 11% on a reported and constant currency basis. Our adjusted EBITDA margin was 36.3%, above the high end of our expectations. Margins were down 50 basis points on a year-over-year basis, which includes an 80-basis point drag from our lower margin breach wins as well as an over 100-basis point impact from lapping last year's lower than typical incentive compensation. Excluding those items, we delivered another strong quarter of underlying margin expansion driven by revenue growth and transformation savings. Adjusted diluted earnings per share was $1.04, an increase of 14%. Our adjusted tax rate for the quarter was 24.6%, higher than expected due to a recently started internal project to restructure our legal entities to maintain a tax-efficient structure as we expand our global footprint. Finally, in the third quarter, we took $69 million of one-time charges related to our transformation program, $47 million for operating model optimization, primarily related to our planned exit of an office lease, and $22 million for technology transformation. We incurred $145 million of one-time transformation expenses year-to-date. Looking at segment financial performance for the third quarter. U.S. markets revenue, which includes Consumer Interactive, was up 12%, compared to the year-ago quarter. Adjusted EBITDA margin was 37.7% or down 120 basis points. Excluding the impact of breach revenues and last year's lower incentive compensation, margins were up strongly. Financial services revenue grew 17%. Excluding mortgage, financial services revenue was up 4%. Trends remain consistent with the last several quarters with year-over-year growth improving sequentially as we start to lap the slowdown in activity from last fall. We outperformed flattish volumes driven by successful cross-sell of our broader solution suite. Our credit card and banking business was, up 5% despite tempered online volumes. This customer segment has seen some of the strongest interest in data enrichment and the broader TruIQ analytics suite in addition to other highly relevant products such as Trusted Call Solutions. Consumer lending revenue grew 2%. FinTech online activity remains muted, but stable with lenders slowly resuming some level of marketing activity. The FinTech market appears to be trending in the right direction and should be a longer-term beneficiary of falling interest rates, which lowers funding costs and supports increased consumer demand, particularly for debt consolidation. Our short-term lending business improved, benefiting from recent wins. Our auto business grew 1%. The market remains choppy across both the new and used car market as consumers face persistent affordability challenges. Against this backdrop, we drove new business wins, including in TruAudience marketing solutions, as well as Trusted Call Solutions. For mortgage, revenue grew 63% ahead of our expectations compared to inquiry volumes down 8%. For the first time this year in late September, we experienced volumes that were ahead of last year's pace as average mortgage rates moved below 6% following the Fed's announcement. Mortgage rates have since crept back above 6%, which has tempered the pace of activity in recent weeks. We continue to take a conservative approach to forecasting fourth quarter volumes even as originations remain significantly below historical averages. On a trailing 12-month basis, mortgage represented above 10% of total TransUnion revenue. Emerging verticals grew 3% in the quarter, led by double-digit growth in insurance. Public sector, tenant and employment, and tech, retail, and e-commerce also grew, offsetting declines in telco and media. Insurance grew double-digits as market trends progressed as anticipated. Insurers continue to gradually increase marketing activity, driving demand for our credit and identity-based marketing solutions. While marketing activity has improved, it remains below levels seen a few years ago as select insurers still work to achieve rate adequacy. Shopping remains strong with increased activity across all demographics. We see good momentum expanding our value proposition to the insurance market with products such as TruVision, Driving History, Trusted Call Solutions, and our fraud and marketing products. And employment returned to growth as we lap the impact of our product recalibration with further improvement expected in the fourth quarter. Public sector grew low-single-digit, led by communications and fraud solutions. Public sector had favorable project timing in the second quarter that reversed in the third quarter, and we expect this vertical to grow low-double-digits for the year. Tech, retail and e-commerce also grew low-single-digit, primarily led by trusted call solutions. Media declined mid-single-digit, lapping mid-teens growth in the prior year, which was aided by one-time project wins. We expect this vertical to return to growth in the fourth quarter. Collections was flat and telco declined low-single-digit, both as expected. Turning to Consumer Interactive. Revenue increased 21%, driven by recent breach remediation wins. Our cross functional teams executed well against these contracts, supporting consumers and building our credibility in this space. Excluding the breach benefit, revenue declined mid-single-digit, primarily due to our direct channel. We are making good progress on broadening our value proposition and go-to-market strategy in direct-to-consumer, and we expect to have more to share in the coming quarters. For my comments about international, our revenue growth comparisons will be in constant currency. For the total segment, revenue grew 12% with four of our six reported markets growing by double-digits. Adjusted EBITDA margin was 45.7%, up 110 basis points. Now let's dig into the specifics for each region. In India, we grew 23% with broad-based growth across consumer credit, commercial credit, fraud, marketing and direct-to-consumer. While growth remained strong, we experienced some deceleration in the last two quarters. As previously noted, the Reserve Bank of India has tempered the pace of lending activity by tightening regulations on unsecured lending and targeting lower loan-to-deposit ratios industry-wide. This resulted in our online volumes slowing in the third quarter, compared to strong growth throughout the first-half of 2024. We believe the RBI is taking a proactive approach to support financial stability over the long-term as they build a world-class lending market. These actions are also in the context of good GDP growth, inflation in line with historical trends and an overall healthy consumer with delinquencies below long-term averages. In this period of consumer credit tightening in India, we are benefiting from our ongoing product and vertical diversification. Our team is doing an excellent job outgrowing the underlying market, leaning further into our commercial credit solutions and new products like our API marketplace. We are monitoring lending conditions in India and expect strong growth in the fourth quarter. Our U.K. business delivered another quarter of growth, up 4%. The market is trending positively with gradually improving banking and FinTech activity, as well as higher consumer optimism, supported by lower inflation and the Bank of England's first interest rate cut in August. We delivered strong new business, including wins across our FinTech, insurance, government, and gaming verticals. In Canada, we grew 9%. We outperformed flattish market volumes, driven by strategic cross-sell into financial services and alternative lenders, recent breach and consumer indirect wins, and strength in insurance. We anticipate mid-to-high single-digit growth from Canada in the fourth quarter. In Latin America, revenue grew 13%. Colombia grew high-single-digit, outpacing muted volumes. Brazil grew double-digits, supported by new business wins, and our other Latin American countries also grew double-digits. In Asia-Pacific, we grew 11%, led by strength in Philippines and a solid quarter in Hong Kong. Finally, Africa increased 10% with broad-based growth led by our retail vertical. Turning to the balance sheet. We ended the quarter with roughly $5.2 billion of debt and $643 million of cash. We finished the quarter with a leverage ratio of 3.1 times. We made a $25 million voluntary repayment in the third quarter for a total of $105 million year-to-date. We expect to make an additional prepayment in the fourth quarter with excess free cash flow after funding our transformation initiatives. Remember that the majority of the roughly $280 million of accrued one-time transformation expenses from the fourth quarter of 2023 through the end of 2024 will be paid out this year. Since announcing our Neustar acquisition, we have voluntarily prepaid $1.6 billion while executing on three refinancing transactions to lower our interest expense and extend our maturity profile. Net of our swaps are all in average effective cost of debt at today's rates is roughly 4.7% below current SOFR. You can find a slide on our debt profile in the appendix of our presentation. Based on our expectations for adjusted EBITDA and cash generation, we expect our leverage ratio to be roughly three times by the end of 2024. We continue to target a leverage ratio of under 3 times and view debt prepayment as an attractive use of cash. Turning to guidance. We are pleased with our outperformance over the first three quarters of the year, but our guidance approach remains unchanged. In prior guides this year, we assumed no benefits from interest rate cuts. With the Federal Reserve announcing a 50-basis point interest rate cut in mid-September, we have incorporated modest improvements in mortgage volumes based on what we have experienced over the last few weeks. While we expect interest rate reductions to benefit our broader U.S. financial services business over the long-term, we do not expect those benefits to manifest meaningfully in 2024. We assume muted, but stable lending volumes will persist through the end of the year. That brings us to our outlook for the fourth quarter. We expect foreign exchange to have a less than 0.5% impact on revenue and an insignificant impact on adjusted EBITDA. We expect our revenue to be between $1.014 billion and $1.034 billion or up 6% to 8% on an organic constant currency basis. Our revenue guidance includes approximately 5 points of tailwind from mortgage, meaning that we expect the remainder of our business to grow 1% to 3% on an organic constant currency basis. In terms of other drivers of revenue in the fourth quarter, we expect mortgage revenues to increase over 80% based on roughly 10% volume growth. We continue to expect financial services excluding mortgage to grow mid-single-digit. We expect emerging verticals to accelerate from 3% growth in the third quarter and grow mid-single-digit. We anticipate another quarter of strong growth from international and we expect Consumer Interactive to decline roughly 10% as the business laps a sizable breach win from the prior year. We expect adjusted EBITDA to be between $360 million and $375 million, up 10% to 15%. We expect adjusted EBITDA margin of 35.5% to 36.2% or up 130 basis points to 210 basis points. We also expect our adjusted diluted earnings per share to be between $0.92 and $0.98, up 14% to 21%. Turning to the full-year. We now expect revenue to come in between $4.161 billion and $4.181 billion or up roughly 9% on an as reported and organic constant currency basis. We expect our organic constant currency growth excluding mortgage to be up about 5%. For our business segments, we expect U.S. markets to grow high-single-digit or up low-single-digit excluding mortgage. Across U.S. markets, Neustar remains well on track for mid-single-digit growth in 2024. We anticipate financial services to be up mid-teens or low-single-digits excluding mortgage. We expect mortgage revenue to increase about 60% based on mortgage inquiries down less than 5% for the year. We now expect emerging verticals to be up mid-single-digit. We expect Consumer Interactive to increase low-single-digit and we expect International to grow low-double-digits. Turning back to total company outlook. We expect adjusted EBITDA to be between $1.488 billion and $1.503 billion, up 11% to 12%. That would result in adjusted EBITDA margins of 35.8% to 36% or up 70 basis points to 90 basis points. We anticipate adjusted diluted earnings per share to be $3.87 to $3.93, up 15% to 17%. We now expect our adjusted tax rate to be approximately 23.5%, higher than our previous guidance due to the previously mentioned internal project, which we expect to complete in 2025. We remain focused on maintaining the most efficient tax structure, but expect our future adjusted tax rate to be modestly higher than our recent historical rate given the evolving tax landscape, including initiatives like the global minimum tax. Depreciation and amortization is now expected to be approximately $535 million. We expect the portion excluding step-up amortization from our 2012 change in control and subsequent acquisitions to be about $250 million. We anticipate net interest expense will be about $245 million for the full-year, and we now expect capital expenditures to be about 8% of revenue. We expect to incur approximately $200 million in one-time charges in 2024 related to our transformation program. With today's guidance raise, we have raised our revenue expectations over the course of the year by $161 million, adjusted EBITDA by $62 million, and adjusted diluted earnings per share by $0.19. Our revenue increase has been driven by stronger mortgage revenues, large breach remediation wins and broad-based business momentum. We also modestly increased our adjusted EBITDA margin expectations, despite adding lower margin breach revenue, supported by revenue flow-through and higher in-year transformation savings. I'll now turn the call back to Chris for some final comments.
Chris Cartwright: Thank you, Todd. And to wrap up, we exceeded third quarter expectations driven primarily by U.S. financial services and international. We're executing well against our transformation program, driving material savings and a step change improvement in innovation with several new capability and product launches powered by OneTru. We're raising our 2024 guidance and expect to deliver strong high-single-digit revenue growth and mid-teens adjusted diluted earnings per share growth for the year. Now let me turn it back to Greg.
Greg Bardi: That concludes our prepared remarks. For the Q&A, we ask that you each ask only one question, so that we can include more participants. Operator, we can begin the Q&A.
Operator: And we will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: Yes. Hi, good morning, and thank you. So, Chris, I wanted to touch on your comments around OneTru and the transformation. You talked about around $50 million, I think, of pipeline related to OneTru products. I'm curious if we should consider those potentially as incremental revenues and how should we think about really the additional revenue benefit from the transformation as we look ahead to '25 and beyond?
Chris Cartwright: Okay. Well, good morning, Faiza. Thank you for the question and welcome everybody to the Q3 call. OneTru is having a very profound impact on our business and our ability to compete in a variety of product lines and markets. I think what's been most exciting is completing the integration phase of the acquisitions and the tech transformation that we've been doing and pivoting really to strong innovation. Over the past couple of quarters in earnings and in press releases, you've seen us announce a whole series of product innovations in analytics, in marketing solutions, in fraud, in credit for short-term unsecured lending. And I think the market should get used to this elevated pace of innovation, which is going to buttress our revenue growth and our revenue forecasts as we roll into next year. Recently, you may have seen an announcement of the next gen of our TruAudience marketing solutions, we've brought together the best of Neustar and the best of TransUnion marketing solutions for identity resolution and market segmentation and audience generation and onboarding with a new user interface onto the OneTru platform. And over the course of '25, we have quarterly robust product functional improvements in the pipeline. The story is the same on the fraud side. We've launched TruValidate, which is our brand name for our global fraud solutions. And again, we've integrated our various very strong point solutions for e-commerce fraud mitigation and just transaction authentication onto a common platform. Our predictive models are far more performant. We are winning new clients. And so we pointed to kind of a cumulative $50 million bookings benefit at this point that is driven directly from that innovation. I can say that over the last couple of quarters, our sales of marketing products have improved materially. And again, that's against a pretty tepid advertising and marketing environment as CMOs have had the belt tighten in a more difficult revenue environment and just a less aggressive posture toward client acquisition. I think as rates come down in 2025 and we achieve this soft landing and if economic macro conditions continue to be stable as they are or even improving, you could see consumer -- or rather our customers pivot more toward acquisition, which again would benefit. So I mean, I think before I say it's additive since we haven't guided to 2025, I just think it certainly derisks our belief that we can return to steady high-single-digit revenue compounding over the intermediate term. And that's really the goal. And look, the good news is we are guiding to that type of growth in 2024 with this raise. And we've yet to see any real strengthening in our end markets. We've just gone from a negative volume environment over the past 18 months to 24 months to one where we have stable, but still muted market conditions and we're demonstrating how growthful we can be given all of our products, given our geographic spread and the stability that we're now enjoying.
Faiza Alwy: Great. Thank you, Chris.
Operator: And our next question comes from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hi, could you just tell us your assumptions around the consumer credit activity kind of through the fourth quarter and the guide? And do you anticipate that there's a direction as we head into next year around credit activity.
Todd Cello: Good morning, Andrew. This is Todd. I'll take that question. Let's answer it specifically from financial services excluding mortgage, right? And the trajectory that we're seeing. So as you saw in the third quarter, we grew 4% on that basis, which was a bit better than the low-single-digit expectations that we had. As you just heard Chris say, volumes, they're stable, but they're still muted. So you look at that in -- at more of a flattish perspective. And when you look at the comparables to the prior year, needless to say, it's important to look that we're lapping the slowdown and the headwind that Chris again just had alluded to. So as we look into the fourth quarter, we are expecting mid-single-digit growth here in this space, as we're just considering that the conditions persist and the comparisons will also ease. I think what's important here is that we're not assuming that there is any type of material benefit from the recent actions that the Federal Reserve took with interest rate reductions. However, we do believe that we will be a medium-term beneficiary of those rate cuts. So more as we get into 2025. And as we look at the lines of business within financial services, excluding mortgage, I mean, consumer lending is one that we would say is a little bit more rate sensitive. And as I'm sure you know, this is where the vast majority of our FinTech customers reside. And it's kind of two-pronged here. First, with lower rates, the FinTechs have cheaper access to capital, which then improves their funding models. But then on the demand side, if rates are lower, you'll see consumers look for products such as debt consolidation. So rate sensitivity there is impactful, and we should see a benefit. If you look at our auto business, the lower rates are aiding affordability. Vehicle prices have gone up significantly since before the pandemic. So a lower rate environment will help. There's also a potential refi opportunity in the auto space as well too. When you think about how auto loans were taken out at very high levels of interest rates, there could be an opportunity there as well in the medium term. Thinking about the credit card business, probably a limited impact that rates are going to have there. And then finally, when we think about the banking side of the equation, the small and medium-sized lenders, as we talked about a year ago, this group felt outsized pain from higher rates as well as dislocation of deposits last year in the wake of a couple of banking failures. So we look at that group of customers which TransUnion is well positioned in that lower interest rates again in the medium term should help.
Andrew Steinerman: Makes sense. Thank you.
Operator: Our next question comes from Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks so much. I wanted to ask about mortgage. You talk -- could you just talk about the delta between the mortgage revenue growth and inquiries? I'm sure a lot of this is coming from the FICO price increase, but maybe just help with some other drivers, just given the large delta it accelerated from the last couple of quarters? And maybe if I could just tag on really quickly, the inquiries of down about 8% looks a little bit light compared to peers and third-party sources. So anything to read into the inquiries as well? Thank you.
Todd Cello: Good morning, Toni. Thanks for that question, and that's an important one for us to go through the details on. So as you stated, our mortgage volumes in Q3 did decline 8%. What's important there to call out though is that's as we expected it. So we're pretty much right in line with how we felt volumes were going to come in at the beginning of the quarter. One thing that is important to remember, when you look at the volumes that TransUnion reports for mortgage, we include everything that's mortgage in that number, including pre-qualification. So other numbers that you may see in the market maybe don't compare on a like-for-like basis. So that's an important distinction there as well. The early access program grew in the third quarter, but the growth was moderating as we lap the program ramp that started in the second half of 2023. And as I said in my prepared remarks, we did see volume start to turn positive in late September as mortgage rates were 6% or below. But since then we've seen rates creep back up. And so we've seen the tri-merge volumes in mortgage, you know, decline. But we've changed our guidance though because of what we've seen with rate cuts and just a handful of weeks of performance in mortgage. And as you can see, we are now calling for a 10% increase in the fourth quarter, which if you think about it from a seasonality perspective, it's typically very low. But then historically, we had a very weak fourth quarter of 2023. So there is definitely a comparable that you have to take into consideration. And now we're expecting from the little bit of benefit that we're getting from the rate reduction that we're expecting the second-half volumes to be roughly flat where last time we spoke with you, we were talking about a 5% decline. Now to your question specific about the gap between the revenues and the volumes. In the third quarter, we posted 63% growth, but as I've already said, volumes were down 8%, so that delta is about 71%, if you do the math on that one. And then for what we're guiding basically for the fourth quarter, with a 10% increase in volume, in essence is assuming 80% in revenue. So what we're seeing here is just a positive mix and price from TransUnion's products and this includes the pre-qual shift to early access plus the reporting that we put on our own credit products as well. And I guess one last point too is when you look at our mortgage revenues, another important thing to remember is that there's more than just online volumes in our mortgages. So we -- in particular, we work with mortgage lenders to help them target and prospect consumers that may be in the market for a mortgage. So we're starting to see that business pick up in a meaningful way.
Toni Kaplan: Thank you.
Operator: And our next question comes from Jeff Meuler with Baird. Please go ahead.
Jeff Meuler: Yes, thank you. So I just -- how fully do you feel the RBI actions have been felt on the market and your financial services business or consumer credit business within India at this point? And then just anything you can say, I know it's a diversified information solutions business. So is growth as strong as ever kind of outside the U.S. consumer credit business in India. I know you said growth should remain strong. I'm just not quite sure what that means in the context of 23% but decelerating growth recently. Thanks.
Chris Cartwright: Okay, Jeff, I'll take the India question. And I'm going to take your question about the diversification component as applying to India and not to the U.S. markets.
Jeff Meuler: Yes, it's correct.
Chris Cartwright: Correct me if you…
Jeff Meuler: Correct.
Chris Cartwright: Yes. So as we pointed out in -- I think the last call, the RBI has become concerned over the pace of lending growth across the Indian marketplace and has taken certain actions to lower the loan-to-deposit ratio in that market. We view it as a prudent step to ensure kind of the stability and the soundness of lending practices within India, which year-on-year had been growing very rapidly. And I think the RBI is going to kind of maintain that for the coming quarters until they're comfortable that there's real integrity across all the lending practices, particularly unsecured lending, which they've scrutinized more highly. I think it's important to remember that India is an amazing market for all the reasons that we've talked about in prior calls, population growth, economic growth, penetration of financial products, and general innovation. And India wants to create a world-class financial services marketplace. And I think the actions by the RBI are toward that end. The lending market continues to be very strong. Delinquencies are at three-year lows. So there's not really a specific problem. And if you look at some of the recent actions against specific lenders, they were more concerned that the appropriate interest rates were being charged to consumers, not an excess interest rate. So it had the flavor of anti-usury if you will, and also that banks were properly diligencing the affordability of loans for consumers. So really, we just view it as a prudent and conservative posture by the RBI to ensure that they don't suffer a boom and then bust cycle. I think we got to remember that we're accelerating our growth outside of core consumer lending, while we're also expanding the number of use cases within consumer lending that we can serve, particularly agri lending and other small-dollar lending, micro lending, if you will, and increasing the analytic products that we're bringing to consumer lending. But the team is confident that we can continue to produce this outsized growth for the intermediate future because of the diversification in commercial, in direct-to-consumer, in fraud, and marketing solutions as we bring them and just a whole array of new analytic products that we can bring across the Indian marketplace. So while growth has slowed from the low-30s to the low-20s, we still expect this market to compound over the next three, five years at very attractive rates and we'll guide more to that effect in the early part of next year.
Jeff Meuler: Thank you.
Operator: And our next question comes from Ashish Sabadra with RBC Capital Markets. Please go ahead.
Ashish Sabadra: Hi, thanks for taking my question. I was just wondering if you could talk about what's driving the improvement in emerging verticals in the fourth quarter. And as you think about going forward with some of these innovations from OneTru, how should we think about that momentum going forward? Thanks.
Chris Cartwright: Yes. So emerging verticals in the U.S. grew 3% in the third quarter. It's down a touch from the 4% growth rate we achieved in the first couple of quarters, we don't really view it as a concern. We think things will accelerate and we'll be back mid-single-digits for the fourth quarter and for the full-year. I mean, on a quarterly basis, there's always some lumpiness or noise. In the third quarter for emerging public sector, which is a lumpy business, grew, but not as fast as it typically does and will for the full year. We were also lapping some very large comps in media. You may recall next year; we had a big media quarter in the third quarter of '23 and so there was a difficult comp there. The good news is that insurance is returning to its former growthfulness, and we saw some double-digit growth, low-double-digit growth in the -- in the third quarter, technology, retail and e-commerce, solid, tenant and employment screening, et cetera, still looking good. So our prospects are improving, and momentum is improving in emerging verticals. And again, we saw a lot of marketing and fraud solutions into emerging, and I feel like we're pretty well positioned to deliver a good year of growth and continue into next year.
Ashish Sabadra: That's great color. Thank you.
Operator: Your next question comes from Kelsey Zhu with Autonomous. Please go ahead.
Kelsey Zhu: Hi, good morning. Thanks for taking my questions. So we've seen really strong growth in Canada for the last few quarters and I think you previously mentioned that part of the strength comes from share gains. So I was just wondering if you could provide a little bit more color around what has worked really well in that market and what level of medium-term growth rate we should expect going forward?
Chris Cartwright: Yes. Thank you, Kelsey. So I've been in the business for 11-years now, and for 10 of them, we've had outsized growth rates in Canada and that team has done a great job of consistently gaining market share. The playbook has been consistent innovation. They have done a great job of innovating in country, but also importing just a range of relevant product innovations from the U.S. and adapting it to the Canadian market. We were also the first mover in launching trended data in the Canadian market and we've got a very rich trended dataset, many attributes that perform extremely well vis-a-vis our competition and we've been able just to bring down shingles year-after-year in Canada. And I expect that the team will continue to do so. Now we're starting to lap some very large growth rates in a mature market. And so the rate of growth is going to decelerate from the mid and sometimes high teens that we've enjoyed over these last few quarters. But the Canadian team knows what they're doing. They're going to continue to innovate, they're going to continue to focus on ways to make Canadian lenders more effective and more profitable. And I think we're going to do quite well going forward.
Kelsey Zhu: Thanks a lot.
Operator: Our next question comes from Jason Haas with Wells Fargo. Please go ahead.
Jason Haas: Hi, good morning, and thanks for taking my question. I'm curious to focus on the Consumer Interactive segment. I'm curious if trends worsened excluding that breach. It sounds like maybe that was due to DTC. And then I'm just curious what can drive sort of improvement there going forward? Thanks.
Chris Cartwright: Yes, thanks for the question, Jason. Direct-to-consumer in the consumer business overall remains an area of intense focus for innovation, and we've talked a lot about it in recent quarters. I feel like we're still on the path to deliver what we need to strategically to return this business to growth. Now, look, in any one quarter you're going to have some noise, but it's important to understand that on the direct-to-consumer side, we are broadening the value proposition and improving our go-to-market strategy, so that we can better monetize the audience that we're getting: one, just our natural flow given our brand in the U.S., but also through our marketing efforts, which we've continued to fine tune to be both effective and entirely compliant. When I talk about broadening the value proposition, I mean, obviously, we've got to bring all things credit to the consumer. We've got to have education and access and simulation and we're good at that. But we've been able to bring identity protection and breach remediation services. And I believe in the relatively near future, we will also launch offers capability, which has been a missing link to the component and we're very excited about bringing that capability to the U.S. markets and beyond and enabling our indirect business to bring the full complement of consumer solutions, which again is credit, identity protection, breach mitigation and a financial and insurance offers engine, right? So that's kind of the strategy and we are making great progress in delivering that. And in fact, that will probably become a focal point of an upcoming earnings call. So that's what I would say about consumer.
Jason Haas: That's great. Thank you.
Operator: Next question comes from Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Thank you. Chris, I just wanted to understand the expected drop in CapEx from 8% to 6% in '26. I think part of it might just be your expectations of high-single-digit top line growth, maybe a bigger revenue base, but maybe just trying to appreciate, perhaps the power of all the spend in the tech platform because I imagine there's always going to be the need to spend on analytics, software, data, et cetera. So a whole two-point drop seems like a lot assuming things keep changing.
Chris Cartwright: Yes. Well, thanks for the question, Manav. There is a bit of a revenue element, but it's secondary. The core is that we're actually achieving the technology transformation with a lower level of spend. Now when we announced in the early fourth quarter of last year, this current chapter of the transformation, which is really the two components of an operating model shift, we're relocating more work to the GCCs, but also an acceleration of technology investment on the backs of Project Rise to consolidate applications on the platform. We're just getting that done with a lower level of spend this year. And so we've reduced guidance on our CapEx to 8% from 9%, but it really has to do from effectiveness. Now some of these other areas that you mentioned, they are important areas of investment. We're continuing to invest disproportionately in innovation, but not all of it is capitalized, right? So the component that is capitalizable, we're getting the work done with less, and so I think it's good news.
Todd Cello: And Manav I would add on to it because I think you're more referring to how do we get to 6% of revenue in 2026, like is there any risk? Are we foregoing anything? An important thing to remember here is that we're migrating all of our applications to the cloud. And by doing that, we no longer have the need for hardware and software purchases, which historically would have been capital expenditures. So now as we have cloud computing costs, that comes into the P&L as an operating expense as opposed to a capital expense that we would depreciate over the life. So what's left in that capital spend when we get to 2026 is primarily our innovation. It's the internally developed software to develop our products and services for our customers.
Chris Cartwright: Yes. And the other wrinkle on that is, given that we are actually consolidating on a global platform and not just migrating the same stuff to the cloud, we will have fewer systems to care and feed for and we can concentrate our engineering on a common configurable global platform. And I think that's really going to be a point of leverage in our earnings and our innovation going forward.
Manav Patnaik: Thank you.
Operator: And our final question comes from Simon Clinch with Redburn Atlantic. Please go ahead. Hello, Simon, your line may be muted.
Simon Clinch: Apologies that was muted. Thanks for taking my question. I was just wondering if you could talk a bit about the longer-term sort of competitive environment in what has historically been a very stable core credit business for the credit bureaus. As your -- you and your peers are all developing new products and there's a greater capability of sort of, I guess, bundling additional services beyond just the traditional credit file into these revenue streams and for your customers? And I was just wondering if you expect that to change the intensity of competition or anything like that in the long-term and how you would be able to compete in that environment?
Chris Cartwright: Yes. Thank you for the question. So look my perspective is that each of the bureaus provide great data and analytics and serve our customers well and that there is a good competitive intensity and a lot of innovation. I mean, if you look over the decade that I've been here, lots of innovation. Each of the three of us have differentiated value propositions and I think you know what those are. I don't necessarily view this as a zero some type competition. I view it as -- each of the bureaus expanding the range of services and the value they can add to clients to gain share of spending, to gain wallet share, if you will. And I think we'll each pursue our somewhat differentiated strategies to accomplish that. But net-net, this is an expanding market. There's a lot of work that clients do internally that I think the bureaus are well positioned to take over and incorporate into their value propositions. And then I also think that it's just data and analytics is hugely important to lenders, insurers, and the entire client base operating effectively. And so they're willing to pay premiums for quality data and insights that help them manage their broader P&Ls more effectively. So I think that's why it's a great business. There's a constant stream of innovation, we can prove the value that we add, and I think TransUnion is certainly well positioned to grow with and above the market across the geographies that we compete in.
Greg Bardi: Perfect. That brings us to the end of today's call. Thank you for your time and have a great rest of the day. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.